Operator: Hello, and thank you for standing by. My name is Gary, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, management will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. At this time, I will turn the call over to Makela Taphorn, Director, Investor Relations at Artisan Partners. Please go ahead.
Makela Taphorn: Thanks. Welcome to the Artisan Partners Asset Management Business Update and Earnings Call. Today's call will include remarks from Eric Colson, Chairman and CEO; and C.J. Daley, CFO. Following these remarks, we will open up the line for questions. Before Eric begins, I'd like to remind you that our earnings release and the related presentation materials are available on the Investor Relations section of our website. Also, the comments made on today's call and some of our responses to your questions may deal with forward-looking statements, which are subject to risks and uncertainties. Factors that may cause our actual results to differ from expectations are presented in the earnings release and are detailed in our filings with the SEC. We undertake no obligation to revise these statements following the date of this conference call. In addition, some of our remarks made today will include references to non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in the earnings release. I will now turn the call over to Eric Colson.
Eric Colson: Thank you, Makela. And thank you, everyone, for joining the call or reading the transcript. Let me begin by taking a minute to discuss the market volatility and the drawdown we have seen in October. At the end of Monday, our AUM was $104.2 billion, down from $116.6 billion at the end of September. Nearly three years ago, in January 2016, we experienced a similar sell off that reduced our AUM by about $8 billion in one-month. I commented on the volatility and drawdown on our February 2016 earnings call. I want to restate those comments verbatim because they remained true today as they were then. Our firm was consciously designed with market volatility in mind. Our flexible expense structure is a key part of our business model. The majority of our expenses fluctuate automatically with changes in AUM and revenues. As AUM and revenues decline, our investment team bonus pools also declined. This has two important benefits. First, our investment professionals understand in advance how market volatility will affect their compensation. They know what to expect when markets drive down AUM, and we don't have to renegotiate compensation or set new expectations. This predictability creates a more stable environment in which our investment professionals can do their best work. Second, because the majority of our expenses automatically adjust, we can continue to focus on our long-term business objectives. We are not forced to revisit or depart from our business plan. In fact, we believe the market volatility generates long-term opportunities for our business as well as for our investment teams. Since 2000, we have experienced 21 monthly periods in which assets declined by 5% or more. We don't know whether October's market decline will prove to be the beginning of a prolonged market downturn or just an isolated event. Either way, our business and financial model has performed as we expected, providing predictability and stability. With that in mind, I want to turn to some of the recent investments we have made in our business. Turning to Slide 2, David Samra and Dan O’Keefe joined Artisan Partners together in 2002. They initially launched the Artisan non-U.S. Value Strategy and later in 2007, the Artisan Global Value Strategy. Both strategies have generated strong long-term results for clients. In addition to delivering for clients, David and Dan build a culture, a brand and a team of talented investors. The Global Value franchise grew to 11 investment professionals, managing over $40 billion in client AUM. Rather than resting on Laurel’s or maintaining the status quo, David and Dan have constantly thought to improve as investors and leaders. Ultimately that pursuit of excellence lead them to decide that the Global Value franchise should divide into two teams and promote a next generation of investment leaders. The changes result in two distinct investment franchises, each with proven leadership, more room for professional growth and greater investment flexibility, all of which should directly benefit clients. The promotions strengthen the ability of both teams to develop talent meaningfully. Each of the senior leaders shown on this page is now one of three, not one of six. While David and Dan will retain the final decision making authority, each of the co-portfolio managers will have wider research coverage, increased portfolio oversight responsibility, and increased accountability for results. We are pleased with the early feedback from clients, consultants and intermediaries. That said, as with most of the decisions we make, we expect the benefits to materialize over a long timeframes in the form of high quality outcomes for our clients, investors, talent, and firm. Shortly after announcing the Global Value changes, we announced that Rezo Kanovich, joined our Global Equity team and assume portfolio leadership of the Artisan Non-U.S. Small-Cap Growth strategy. Rezo has a unique life story at differentiated investment approach and a history of success. He was born in the Soviet Republic of Georgia. As a teenager, he immigrated to Israel and then to the United States where he attended college and graduate school. He speaks four languages and has spent time in Healthcare Consulting and Investment Banking. He started his investment career at Oppenheimer Funds as an Analyst. Eventually, he became Portfolio Manager of an International Small-Cap Strategy in 2012. Under Rezo’s leadership, the strategy was transformed in to include Mid-Cap companies and eventually grew from less than $1 billion in AUM to more than $10 billion. At Artisan, Rezo’s team includes two analysts that he knows well. We are embedding Rezo and his analysts within our broader Global Equity team with whom they share a similar investment philosophy. This arrangement, which is unique for Artisan, allows each group to draw on the intellectual resources and ideas of the other, while maintaining the benefits of autonomous investment decision making. We have reopened the non-U.S. Small-Cap Growth strategy to new clients and investors. We have also announced a series of changes to increase the strategies degrees of freedom. Most importantly, by the end of year, we expect the strategies guidelines to permit Rezo to invest in Mid-Cap companies. We are incredibly excited to have Rezo and his team on Board. Rezo was unique, passionate and entrepreneurial. His investment process is based on deep fundamental research into secular themes and individual companies. He has a history of adding value with a differentiated portfolio. In addition, International Small and Mid-Cap is a high value added space that should fit well for many intermediary and institutional clients. The changes we announced earlier this month for both the Global Value and Global Equity teams, reflect our commitment to reinvesting in our existing franchises to make them stronger and more capable for clients. Since 2013, in addition to launching three new investment teams, we have made meaningful reinvestment in each of our five preexisting teams, reinvestments that are unique to each team’s people, culture and investment process. I won't review each of the items on Slide 4, but I want to mention two things. First, well not shown on this slide, we have made meaningful investment in our emerging market team over the last five years in order to maintain the team's stability and provide time for the team's investment process to play out. The team's performance over the last five years has been exceptional. We remain committed to growing the team’s asset base. Second, in 2016s, we hired Jason Gottlieb to lead our Investment Operations. Since joining, Jason has been involved in all aspects of our investment operations, including hiring and establishing the Semantic team, assisting the U.S. value team with a new portfolio manager, the recruitment of Rezo Kanovich and the evolution of the Global Value franchise. Jason is experienced and skilled leader. With him, we have enhanced our ability to help existing teams with franchise development and we have increased our ability to recruit new investment talents. Slide 5 shows our long-term investment results. 13 of the 15 strategies shown have added value for clients, net of fees with 11 strategies having generated 180 basis points or more of average annual out performance. Not shown on this page or the Credit Opportunities and Thematic Long/Short strategies. Both of which have performed well for clients since launching last year. Also not shown our two strategies we historically managed, but previously liquidated or merged. One of those strategies, the U.S. Small-Cap value strategy had exceptional long-term performance. So when our 23-year history, we have launched 19 strategies for our clients. We have operated all 19 with integrity investing as we told clients we would, 16 of the 19 have value-added track records. Of the other three, the Value Equity and Emerging Market Strategies of both generated positive long-term absolute returns, while trailing their benchmarks by minimal amounts. As a firm, we are proud of our investment track record. We look forward to continuing to grow our business value through value-added investment performance, and new investment talent. Our patients, discipline and long-term performance for clients will define who we are, not industry trends or performance cycles. Our financial model and long-term orientation allow us to operate through market cycles without impairing our people or process or sacrificing investment capacity to generate short-term client cash flows. We will remain patient. If we continue to add value over the long-term for clients, we are confident that high quality outcomes will follow for our people, our shareholders and our firm. Financial highlights for the quarter and nine months are presented on Slide 6 and include both GAAP and adjusted results. I will focus my comments on adjusted results, which we utilized to evaluate our business results and operations. We ended the September quarter with higher AUM of $116.6 billion due to rising equity markets, partially offset by net client cash outflows. A Sharp Global Equity market declines in October have impacted AUM levels since quarter end and our AUM as of Monday’s close was $104 billion. Eric talked about the benefits of our financial model in volatile markets in his remarks. I will also touch on those later. Average AUM revenues for the quarter were up slightly compared to the previous quarter. Adjusted operating margin increased to 38.5% primarily due to the decrease in equity based compensation expense. Adjusted earnings were $0.79 per adjusted share compared to 76% per adjusted share last quarter with $0.65 for the same quarter last year. For the nine-month period, revenues were up 9% and adjusted operating income was up 10% also primarily as a result of higher average AUM. Adjusted net income was up 35% and adjusted earnings per share were up 33%. Both boosted by the benefits of tax reform as well as higher average AUM. Assets under management and net client cash flows are on Slide 7. During the September quarter ending, AUM increased $2.4 billion or 2% compared to $114.2 billion at the end of the previous quarter and up 3% from assets of $113.7 billion at the end of the same quarter last year. Our AUM rose from the comparative periods as a result of strong global equity markets offset in part by continued net client cash outflows. Net client cash outflows and our non-U.S. growth, U.S. Mid-Cap growth and U.S. Mid-Cap value strategies accounted for more than 100% of our firm wide net outflows. Inflows into the strategies we've launched over the past several years, continued to be strong, but have not yet reached the size that they can meaningfully impact the negative flows in our larger, more traditional strategies. Next quarter's flows will include the impact of Artisan’s funds, annual income and capital gains distributions. Based on our current estimates, we expect this year’s distributions to result in approximately $850 million of net client cash outflows from investors who choose not to reinvest their dividends. Turning to revenues on Slide 8, revenues up $212.8 million in the September quarter were up slightly and in line with the increase in average assets under management. There was no significant change in the effective fee rate for the quarter. The increase in revenues of $8.2 million or 4% from the September 2017 quarter was also driven by the increase in average AUM. In the nine-month period, revenues increased $52.2 million or 9% compared to the prior year period, and were driven by the 10% increase in average assets under management. The weighted average investment management fee was 73 basis points in 2018 compared to 73.3 basis points in 2017. The fee rate decreased due to the negative impact of the continued shift in the mix of our assets under management to lower fee vehicles, partially offset by the impact of performance fees earned in the current year. Performance fees were $2.4 million in 2018 compared to $300,000 in 2017. Operating expenses are presented on Slide 9. Operating expenses for the September 2018 quarter were $131 million, 2% less than operating expenses in the June 2018 quarter, primarily reflecting a decrease in equity-based compensation expense, which more than offset increases in occupancy and technology costs. During the September 2018 quarter, we incurred approximately $700,000 of incremental occupancy expense related to an office relocation of one of our investment teams. The increased expense includes duplicate rent, accelerated amortization, and lease termination charges from exiting the prior location. Occupancy costs in the December quarter are estimated to be approximately $5 million. We currently anticipate additional incremental office relocation costs were approximately $2 million in the first quarter of 2019 related to two other office relocations. Technology costs for the September 2018 quarter were $9.6 million, reflecting increased spend in investment and distribution-related capability improvements. That spends should trend upwards in the December quarter to approximately $10.5 million. Compared to the September prior year, quarter expenses were up 6% as a result of the occupancy and technology charges I just explained, as well as higher variable incentive compensation, increased equity-based compensation expense and cash compensation costs associated with a higher number of employees. For the nine-month period, operating expenses were $396 million, up 8% from the prior year period. This was primarily the result of higher variable incentive compensation expense, increased equity-based compensation expense, and increases in salary and benefits costs and technology and occupancy expenses. Further detail on compensation of benefits expenses are presented on Slide 10. Compared to the June 2018 quarter, September 2018 quarter compensation ratio declined reflecting the roll-off of equity-based compensation expense related to higher grant date value equity awards that fully amortized. Equity-based compensation expense in the December quarter should be just over $11 million. You can also see the benefits of our financial model in our compensation expense. Incentive compensation fluctuates with the level of revenues and then in the September quarter declined with a slight revenue decline, but increased compared to the prior year quarter given increased revenues. This variable expense model serves us well in volatile markets such as the one we are currently experienced. While revenues in the December quarter will decline with the current lower levels of AUM, incentive compensation will automatically adjust downward as well. Year-to-date as of September 2018, compensation expense excluding pre-IPO GAAP expenses increased consistent with the increase in revenues. As a percentage of revenues compensation is essentially flat. Looking forward to the December quarter and as Eric discussed, earlier this month, we announced the addition of new investment talent to our Global Equity team, evidenced by our commitment to investing in talented professionals focused on value added investing. We expect these investments will result in incremental expense of approximately $5 million in the fourth quarter of 2018. In future quarters, we expect the incremental expense to be approximately $1.2 million net of the investment team revenue share generated by the non-U.S. Small-Cap Growth strategy. The adjusted operating margin and EPS are presented on Slide 11. Adjusted operating margin in the September quarter was 38.5%, up slightly from June quarter and down from the prior year quarter of 39.4%. The adjusted operating margin for the nine months ended September 2018 was 37.8% improved from 37.2% in the prior year period. Adjusted net income per adjusted share improved in both the September quarter and year-to-date periods. The impact of tax reform was approximately $0.14 per adjusted share for the quarterly period and $0.37 per adjusted share for the nine-month period. Discussion of capital management begins on Slide 12. Our capital management philosophy has been and continues to be payment of a majority if not all of the cash generated from operations in the form of a cash dividend. The cash generated from strong operations year-to-date has been partially distributed to shareholders through fixed quarterly dividends. As we have in the past, we currently expect to payout the majority of the remaining cash generated in 2018 through a combination of the quarterly and special dividend in the first quarter of 2019. Year-to-date, we have declared or paid dividend of $1.80 through the fixed quarterly dividend policy, which is approximately 63% cash generated. The next slide illustrates the transition of our capital management policy to a variable quarterly model. Starting in the first quarter of 2019, the quarterly dividend declared will approximate 80% of the cash generated during the preceding quarter. The move to a variable quarterly payout policy allows us to; first, put cash into the hands of our investors more timely, eliminate the uncertainty of the viability of our fixed payout levels during the times of market volatility and lower levels of AUM, and it reflects who we are and is consistent with how we operate our business for the long-term. The transition to a variable quarterly dividend does not change our intent to distribute the majority of the cash we generate. It only changes the amount that is paid quarterly to better reflect the operating results of the quarter. We expect to follow the same process each January when we consider the payment of a special annual dividend. That process involves us assessing the current market environment and business conditions and any needs to retain cash for strategic investment for corporate purposes. We expect that the remainder of cash will continue to be paid as a special annual dividend in February each year. An illustration of the difference in the quarterly payout policy under the variable model is on Slide 13. Our balance sheet summary is on our last slide. Our cash position is healthy and leverage remains modest. Our leverage ratios have improved slightly from last year due to increased levels of earnings. I want to end by underscoring the importance of what Eric said about market volatility in his remarks. Our P&L and balance sheet are designed to weather the market volatility we expect in this business. We will not change how we manage the business or invest for the long-term. Of course that said, we do understand the realities of the impact that lower AUM has on our revenues and profitability, and we have the ability to manage certain fixed expenditures without impairing our long-term plans such as staff additions and certain infrastructure and technology spend. We remain confident our model will serve us well during these volatile times. That concludes my comments and we look forward to your questions. I will now turn the call back to the operator.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Bill Katz with Citigroup. Please go ahead.
William Katz: Okay. Thank you very much for taking the question this morning. I appreciate all the color. Just maybe starting on capital management policy and sort of appreciates the math that you laid out in the slide. I guess stepping back a little bit, thinking about how you sort of see the value creation of your business over a longer timeframe versus how the market is sort of treating that view? How did the Board and you guys think about buyback versus the dividend policy, just given where market appears to be a relatively high yield, but maybe not believing in full and just trying to get a sense of the priorities as you think about the decision making with that?
Eric Colson: Yes. So Bill our view on that really hasn't changed, we've always valued the dividend and we attempt to create stability and transparency in our model and we believe that a consistent dividend policy with a very attractive yield is beneficial for our shareholders and our investment talent based on the predictability. We try to avoid mistakes and over the last five years, we went back and did it quite a bit of analysis on buybacks and by any metric, buybacks would not have been a good investment decision and we believe that buying back shares isn't investment decision and we can either put the money in the hands of our shareholders through the cash dividend, which is a very attractive yield or make an investment decision for them. So our lean is to towards the cash dividend. We don't rollout share buybacks, but we just haven't found it to be an attractive use of capital for shareholders, when you compare it to the dividend yield, we're able to achieve a cash dividend.
William Katz: Okay, thanks. And just follow-up question is and thank you for the extra disclosure where the AUM sit today. So based on some back of the envelope math sort of penciling out about $1 billion of outflows in October, I guess the question is either – is that a reasonable back of the envelope calculation? And if it is, can you sort of talk a little bit about where you're seeing some of the pressure on the business model given your long-term track records and maybe the broader question underneath and that's the second one, what are you seeing in terms of allocations just given what's been more turbulent a few months now?
Eric Colson: Yes. Certainly Bill. It’s Eric. The $1 billion is about right for the month there and what we saw was a few of our intermediary clients starting to rebalance in the international equities space, so within international value and international growth, those two strategies, where the dominant flows there from a rebalance. I think the volatility is, as we said an opportunity for our investment teams as well as the business, and we've seeing, some rebalancing occur, but the relationships and the long-term clients are very strong and we think the business is positioned very strong. So we don't see anything abnormal with regards to the rebalancing.
William Katz: Thank you.
Operator: The next question comes from Chris Shutler with William Blair. Please go ahead.
Christopher Shutler: Hey guys, good morning.
Eric Colson: Good morning.
Christopher Shutler: On the occupancy expense C.J. Can you just reiterate what you expect for Q4? I think you said $5 million of extra expense is one-time and Q1 is $2 million of incremental. That's one-time maybe just – is that correct? And what's the right run rate beyond the time costs?
Charles Daley: Yes. So if you exclude the one-time costs for office relocation's, the run rates going to be about a $5 million a quarter, into 2019. And the first quarter of 2019 a relocation costs are going to be somewhere around $2 million.
Christopher Shutler: Okay. Perfect. Regarding the addition of Rezo I just want to confirm the right way to think about that from a flow perspective is that he needs to kind of rebuild a three-year trackers as similar to the hiring of Brian and Louis.
Eric Colson: Yes. We definitely will treat it similar to a rather hiring’s where the first things first are to focus on investments and talent. And so we'd like Rezo to get situated and build the right foundation, with regards to how you want to conduct research. We were fortunate to hire too strong analyst to join Rezo and really build on the team, the process and the research to build a record that's durable for the long run. As you noticed in the years past, what we don't do is bring someone in and parade them around the country or the world trying to gather assets as quick as we can. We prefer to focus on delivering investment results and letting that build for the long run.
Christopher Shutler: Yes, makes sense. Thanks, Eric.
Operator: The next question is from Dan Fannon with Jefferies. Please go ahead.
James Steele: Good morning. This is James Steele filling in for Dan. Thanks for taking my question. So my question is on fund capacity, I understand that non-U.S. Small-Cap was reopened to investors. This is mostly due to the mandate being brought into include Mid-Cap or does it have to do with recent performance and/or AUM numbers. And then in general, when thinking about reopening strategies, what's the balance between AUM level and performance? Thank you.
Eric Colson: Hi, James, it’s Eric. With regards to the reopening of International Small-Cap strategy that the catalyst there was the hiring of Rezo Kanovich and also broadening the guidelines, but the primary driver of reopening was due to hiring Rezo and building out a dedicated team for the strategy. And with regards to how we think about opening and closing, the first things we think about is performance. And we've said this on past calls of how we think about capacity, but we'll close the strategy if we feel that the overall capacity is hindering investment performance, we’ll close a strategy if it's hindering the integrity usually if there is a high velocity of flows that are coming into a strategy that would impair number of securities or the market cap or some type of characteristic. And we also will close the strategy due to the mix of assets. If we get too concentrated in a single client channel, we'll manage capacity. But investment performance comes first.
James Steele: Got it. Thank you.
Operator: The next question comes from Robert Lee with KBW. Please go ahead.
Robert Lee: Great. Thanks for taking my questions. Eric, maybe just want to touch a little bit on kind of fee pressure that's out there. I mean – and obviously you've talked extensively over time about the best way to maintain fees obviously is to generate alpha, manage capacity and kind of keep your fee structure intact, but I’m just curious maybe particularly in the intermediary world in retail. How are you thinking about – do you feel like you're getting your – because of that does you maybe missing meaningful opportunities in some products that have capacity because different intermediaries are becoming ever more focused on kind of just being in a certain quartile percentile from the fee construct perspective. I mean certainly you hear a lot of competitors talking about having to chip away at their fees just to get on model portfolio. So how do you kind of – how are you currently – any change and how you're thinking about balancing those two?
Eric Colson: We haven't changed our thinking around our fee schedules or how we manage fees. We obviously talked quite a bit of our performance and more specifically our net of fee performance, which we believe clients look at first and foremost is how are we compounding their assets after fees. And we have highlighted our record there across our 17 strategies, specifically to the retail intermediary, as you know our makeup of assets has very small percentage in the retail space. With regards to the intermediary, we believe we have a very good size exposure into the various platforms whether it's the broker-dealer platforms or the financial advisors and we haven't seen a pressure in a sense for the current makeup of strategies we have today. We have seen fee pressure, which we've talked about on past calls when you get into the very large allocations, especially in the public funds or the sovereign wealth funds, and when you get to the sizable mandates, there's been a real shift in the market price of these right now. They've gone much lower then we're willing to go. We've been open to performance-based fees in that category of large mandates. But with regards to allocate in a large percentage of assets to the capacity of strategy, that's doing well. We really just don't want to impair the overall fees for the long-term.
Robert Lee: And then maybe as a follow-up, can you also I mean update us on RFP activity out there and maybe your sense of given the volatility over the past month or couple of months, particularly in global strategies? How LPs are behaving? I mean, are they – do you have things that [indiscernible] waiting to fund, the people are putting it off or just kind of trying to get a sense of, the pace of activity in investor's mindset?
Eric Colson: We haven't seen much of a change over the last couple of weeks with regards to the pipeline, especially in the institutional and institutionally oriented clients. Those are long processes with regard to asset allocation to the structure and then the search process. We haven't seen in this last couple of weeks derail activity in the pipeline. And with regards specifically to RFPs, we haven't seen any change there. And like we've mentioned on past calls, the process of RFPs has gone down in general over the last decade. So that the usage of request for proposal or some type of information is – it's not as dominant as it used to be in the past.
Robert Lee: Great. Thanks for taking my questions.
Operator: The next question comes from Michael Carrier with Bank of America. Please go ahead.
Michael Carrier: Thanks guys. Maybe first one just on the flows in the quarter and you guys might have mentioned this, but I didn't catch it. Just anything that was more specific, do you guys, I know like the industry trends, is that weighed on the sequential direction when you look across the products at the distribution channels?
Eric Colson: No, for the quarter is basically a continuation of sort of people being a little more cautious as well as the allocation to [GEC] mandates we saw come down and that hurt our international products, but sort of more of the same trends we've seen over the last several quarters.
Michael Carrier: Okay. And then, Eric just in terms of the outlook, so when you look over the past few years, you guys hired teams, you've done, [you can just put at] the value this quarter, bringing the Small-Cap. When you think about the outlook, which funds are now open, maybe just an update on what the distribution teams are able to bring to clients in order to generate the organic growth over the next year or so?
Eric Colson: Yes. Across all nine teams and looking at the 2017 strategies, I mean, I feel highly confident that each of the teams have a strong returns, the teams are well positioned, and our intermediary and sales teams have quite an array of strategies to sell. With regards to capacity specifically, the Global Value team, the non-U.S. value, we haven't reopened the fund, but we clearly have been managing flows there as people rebalance. We have the ability to manage some of the outflow just from natural attrition. So even in the close strategies, due to some of the higher level of rebalancing, there's an opportunity across all nine franchises. So I mean, I think the sales and marketing have the entire array of 2017 strategies to look at.
Michael Carrier: Okay. Thanks a lot.
Operator: The next question comes from Alex Blostein with Goldman Sachs. Please go ahead.
Ryan Bailey: Good morning. This is actually Ryan Bailey filling in for Alex. I was just wondering if you're seeing anything in terms of demand from non-U.S. clients. I think since 2017 that had been a – non-U.S. clients had been a source of inflows and it seems like it had flipped to negative this year. So I was just wondering if there was anything you could highlight?
Eric Colson: Ryan, this is Eric. I have not seen any change with regards to the interest. I think that the primary strategies remain our global strategies and looking across our Global Opportunities or Global Discovery, Global Equity and Global Value. Those strategies have strong excess return and are very well positioned in the marketplace. So we haven't seen any change in the marketplace with regards to the consultants and intermediaries that we've been talking too.
Ryan Bailey: Great. Thank you. And maybe just as a follow-up, can you give us a reminder on any teams that might be interested in launching more private style strategies?
Eric Colson: With all of our teams, we talk about degrees of freedom and how to add value and differentiate against indexes and create strategies that are difficult to replicate given the trend towards indexation and exposure, so we're in discussions with our teams with that theme in mind, but we have no new strategy or team that's announcing a product as of yet.
Ryan Bailey: Got it. Thank you very much.
Operator: The next question comes from Kenneth Lee with RBC Capital Markets. Please go ahead.
Kenneth Lee: Thanks for taking my question. Just one on the potential excess cash on the balance sheet available that could potentially help fund the dividend, wonder if you just give us the latest update on that and maybe also help us think through how that excess cash could potentially fluctuate depending on market conditions with the Company might need to hold back? Thanks.
Eric Colson: Yes. So the cash that you see on the balance sheet a good chunk of that is really, accumulated throughout the year to pay, incentive compensation at year-end. There's some unpaid dividends in CRA, payables that are on the book. So in general, we hold about $100 million of cash when all of the liabilities are paid. We do use some of that cash for seed investments and we currently have about $40 million of seed there. So we'll go through the same process at the end of the year when we get to the special dividend, we did provide some insight in the a deck or in sort of the transition from the fixed to the variable and that was done to show the transition not to really help estimate a special at the end of the year. But you can see that through the three quarters we've accumulated, around $1 per share of excess cash that will be available. But what we get to the end of the year, we'll transition to the variable. So we'll payout 80% of the December earnings, we'll retain that 20% on the balance sheet that won't be paid out, that will be accumulated throughout the year and considered for a special annual in the following year. So that that's about how we think about it.
Kenneth Lee: Gotcha. Thanks. And then one more follow-up, broadly speaking, what's your sense in terms of how clients view the value proposition differentiate investment strategies with multiple degrees of freedom, especially in terms of market volatility. Did you see any change, whether it's an increase or decrease in that kind of interest? Thanks.
Eric Colson: Yes. With regards to the high value added approach and strategy that we focus on when you get away from a price momentum market that goes up over the last nine years, 10 years. It's highly beneficial for exposure index oriented products. So with regards to the volatility and our degrees of freedom and our history of delivering inactive approach that has delivered, our belief is that it will be highly beneficial.
Kenneth Lee: Great, thanks.
Operator: The next question is a follow-up from Chris Shutler with William Blair. Please go ahead.
Christopher Shutler: So C.J., I just want to get a little more clarity on the expenses, particularly the communications in tech line. Just how do we think about the run rate from here? I know you said 10.5 in Q4, but is that the right run rate to think about heading into 2019 and a same type of question on G&A. What's the right run right there?
Charles Daley: Yes. So yes, I did guided 10.5 in the fourth quarter and I think I'm absent any clarity that I have today. I think I would use 10.5 would be a good proxy for next year. Tech spend early goes down and so I think we'll continue to make investments in the business, given our new strategies, new asset classes, and investments in distribution technology. So I think that that's about right. And G&A that fluctuates within a range as you can see from history. So my best estimate would be just to use in that quarter. It's going to fluctuate up and down from there based on business activity. But on average I would think several would be a good proxy.
Christopher Shutler: Okay. Thank you. End of Q&A
Operator: This concludes the question-and-answer session and the conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.